Operator: Welcome to the TreeHouse Foods First Quarter 2024 Conference Call.
 [Operator Instructions] 
 Please note that this event is being recorded. At this time, I would like to turn the call over to Matt Siler of TreeHouse Foods for the reading of the safe harbor statement. 
Matthew Siler: Good morning, and thank you for joining us today. Earlier this morning, we issued our earnings release and posted our earnings deck, both of which are available within the Investor Relations section of our website at treehousefoods.com. 
 Before we begin, I would like to advise you that all forward-looking statements made on today's call are intended to fall within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and projections and involve risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. Information concerning these risks is contained in the company's filings with the SEC. 
 On September 29, 2023, we completed the divestiture of our Snack Bars business. Consistent with prior quarters, we will discuss our results on an adjusted continuing operations basis. A reconciliation of non-GAAP measures to their most direct comparable GAAP measures can be found in the release and the appendix tables of today's earnings deck. 
 With that, let me now turn the call over to our Chairman, CEO and President, Mr. Steve Oakland. 
Steven Oakland: Thank you, Matt, and good morning, everyone. I'm pleased to be with you today to discuss our first quarter financial results and provide an update on our outlook for the remainder of the year. But first, I'd like to take a moment to reflect on our journey and all that we've accomplished to be positioned as a leader in private brands, snacking and beverages. 
 It was just 18 months ago that we sharpened our portfolio focus and began the transformation of the company, and our team has worked tirelessly to create a new TreeHouse. While the absolute results of our transformation are still forthcoming. I am confident that our strategy and execution will drive returns for our shareholders. 
 We remain focused on sustaining and growing leadership and depth across our Snacking and Beverage categories. We do this by enhancing our supply chain and delivering superior service. This will, in turn, drive organic growth and create long-term value for all of our stakeholders. With that, let me start with our first quarter results, which are outlined on Slide 4. 
 We delivered net sales of $821 million, which while down 3.9% year-over-year, was above the top end of our guidance range of $810 million. In addition, our adjusted EBITDA of $46 million was within our guidance range. These results were burdened by the work to restart our Broth business, which I will speak more about shortly. 
 I'm pleased with our solid start to the year and believe that we are well positioned to deliver on our full year outlook. As a result, we are reaffirming our 2024 guidance. Pat will provide more detail on our first quarter results and this guidance shortly. Taking a look at Slide 5, I would like to provide an update on our net sales pipeline and the significant opportunity for TreeHouse to drive organic growth. 
 I'm encouraged by the pipeline that our team has built in tandem with the work undertaken to transform the company over the last 18 months. The size of this pipeline has grown by over 20% during the last quarter, as our commercial teams continue to pursue new customer partnerships. We are executing well against our plans for 2024, securing numerous opportunities since the start of the year, including wins in Cookies, Refrigerated Dough, Pickles and Pretzels to name a few. These will drive growth in the second half results and showcase our strategy and action within the categories where we have advantaged capabilities and depth. 
 Moving on to an update on our Broth facility. As you can see on Slide 6, our efforts continue to progress as anticipated. We have a plan in place and are tracking against it. We have upgraded our equipment, refined and improved our process and have trained and maintained our workforce at the facility with the expectation that production will continue to increase in the coming months. This should provide a meaningful lift to our second half profitability. In the meantime, our other Broth facility is performing well, and we have been doing our best to provide as much product as possible to our customers in this period. 
 Next, I'd like to briefly discuss our supply chain initiatives. We've continued to invest directly in our supply chain to drive consistent execution through our network, enhance our competitive positioning and strengthen our partnerships with our customers. Our teams are driving progress around our 3 priorities of TMOS, procurement and improving our distribution network. 
 An example of how TMOS is impacting the company can be seen on Slide 7, where our overall equipment effectiveness, or OEE, has good momentum and continued to improve in the first quarter. Additionally, our TMOS procedures are contributing to further improvements in service levels that we restored in the first half of 2023. We also feel confident in the benefits that we can achieve from our work across procurement, logistics and distribution. With the timing of these initiatives, we expect to drive significant gross cost savings of roughly $50 million in the latter half of this year. 
 Turning now to an update on the industry. TreeHouse remains attractively positioned at the intersection of 2 incredibly powerful long-term consumer trends, the growth of private brand groceries in North America and the consumers' shift towards snacking. As you can see on Slide 8, private brands have consistently gained share over the last 2 decades. Private brands still has significant runway for growth, regardless of the short-term changes in the economic backdrop. Our strategy of deploying capital with a focus to drive market share leadership in consumer trending food and beverage categories should enable TreeHouse to consistently deliver organic growth. 
 Taking a closer look at the first quarter, we saw continued strength of private brand volume compared to national brands. In the categories in which we operate, private brand unit sales in measured retail channel were modestly positive compared to national brands, which continued to decline. 
 Additionally, on Slide 9, you can see the price gaps between national brands and private brands remain elevated relative to historical levels in our categories, underscoring the value that private brands can offer to consumers. This environment continues to be supportive of private brand unit share, which increased in each month of the quarter. Indeed, our top line performance is improving, and our prospects remain strong with new sales opportunities expected to help our second half volume growth. 
 We have also made meaningful progress with the restart of our Broth facility and are well positioned to deliver against our plans in this business segment in the latter half of the year. We are tracking against our goals with TMOS, procurement and distribution cost savings plans, which should help drive margin expansion in the second half. Overall, we are well positioned to capture the strong consumer tailwinds we're seeing play out, and I'm excited by the trajectory of our business and our positioning within the industry. 
 I will now turn the call over to Pat. 
Patrick O?Donnell: Thanks, Steve, and good morning, everyone. I'd like to start by thanking the entire TreeHouse team for their work this past quarter, which has driven a solid start to our fiscal year. I'll begin with a summary of our first quarter results on Slide 11. 
 Net sales and adjusted EBITDA both declined relative to the prior year as expected. Net sales of $821 million exceeded the top end of our first quarter guidance of $810 million. Adjusted EBITDA of $46 million was in line with our expected range. On Slide 12, we have provided further detail on our year-over-year net sales drivers. Our first quarter net sales were down 3.9%. 
 Volume and mix was down year-over-year, primarily driven by the carryover of business that we exited last year and planned downtime at our Broth facility. This was partially offset by the volume contribution from our Coffee acquisition. Additionally, pricing declined due to targeted commodity-driven pricing adjustments as we expected. 
 On Slide 13, I'll take you through our adjusted EBITDA drivers. Volume and mix, including absorption, was down $35 million in the quarter, primarily driven by unfavorable category mix, including lower volume from our Broth business due to the restart that we've discussed. PNOC, pricing net of commodities, contributed $13 million. This was driven by overall lower commodity costs compared to the prior year, including coffee where we have passed through arrangements with our customers. 
 As we think about our commodity basket and what we've seen year-to-date, there are input costs that have continued to be inflationary, while others have moved lower. We continue to believe that on the full year, inflation across our basket will be modest. 
 Within the pockets where we are seeing higher inflation, specifically cocoa, we are in the process of taking pricing actions to recover those increased costs as we move through the remainder of the year. Additionally, our procurement and logistics teams are hard at work executing planned initiatives throughout our network to drive profitability improvement. Operations and supply chain were an $8 million headwind versus the prior year, primarily driven by higher labor costs and the impact of our Broth facility restart. 
 Lastly, SG&A and other contributed negative $15 million versus last year, primarily due to less TSA income relative to the prior period as we expected. Our first quarter guidance contemplated these higher operating expenses associated with the TSA arrangement. We have taken the necessary actions to reduce these temporary operating expenses moving forward. 
 Moving on to Slide 14, I'll touch on our capital allocation strategy. The Board and management continue to be focused on deploying capital in a manner that enhances returns for shareholders. Our first priority remains investing in our business, which we do organically through CapEx investments and inorganically by strategically adding depth and capabilities like we recently did with Pickles in the first quarter. We also continue to execute on our share repurchase program and opportunistically repurchased $44 million of company stock in the first quarter. We will continue to be disciplined and look at all capital deployment decisions through a risk-adjusted returns lens, while maintaining our balance sheet strength. 
 Turning now to our guidance on Slide 15. We are maintaining our full year net sales outlook of flat to 2% year-over-year growth or a range of $3.43 billion to $3.5 billion. We expect our organic volume and mix to be slightly positive for the year. From a pricing perspective, we are still planning for a modest commodity-driven decline year-over-year. We continue to anticipate a slight volume and mix benefit from the acquisitions completed in the last year. We expect adjusted EBITDA in the range of $360 million to $390 million. Additionally, we still expect free cash flow of at least $130 million. Finally, we anticipate net interest expense of $56 million to $62 million and capital expenditures of approximately $145 million. 
 As it relates to the second quarter, we expect net sales to be in the range of $770 million to $800 million, representing a decline of approximately 2% at the midpoint and a sequential improvement versus the first quarter. The year-over-year decline will be driven by organic volume mix, primarily due to the planned downtime at the Broth facility. The low single-digit decline in pricing will be largely offset by a positive low single-digit contribution from acquisition volume, primarily related to coffee. 
 Our second quarter adjusted EBITDA is expected to be in the range of $55 million to $65 million. The restart of our Broth facility impacting volume and mix, and the lag on pricing to recover the impact of cocoa inflation provide headwinds in the period. I'd also like to provide some additional context on the general net sales and adjusted EBITDA cadence and what you can expect for the remainder of 2024. 
 As we discussed on our prior call, with regard to net sales, we typically experience lower sales in the first half of the year, with the second quarter being our seasonally lowest quarter from a volume standpoint and higher net sales during the second half of the year, which is driven by our seasonally strongest fourth quarter period. The split is slightly more pronounced on adjusted EBITDA, driven by stronger demand and higher utilization, which is also most pronounced in the fourth quarter. There are some differences in the seasonality in 2024 given the constraints impacting us in the first half due to our Broth facility. We still believe our net sales will look relatively close to our historical cadence. However, our adjusted EBITDA performance will likely be closer to a 30-70 split, which is more skewed to the second half than our historical results. 
 More specifically, we believe we will see a sequential improvement in adjusted EBITDA of $45 million to $50 million from the midpoint of our second quarter guidance range to what we earned in the third quarter. We then anticipate another improvement of similar magnitude in adjusted EBITDA between the third and fourth quarter of this year. We are confident in our ability to deliver the strong second half for several reasons. 
 One, net sales should show improvement due to the new distribution partnerships that largely began in the third quarter; two, cost savings initiatives provide the greatest impact to our profitability beginning in both the third and fourth quarters with gross savings of roughly $50 million. The savings will be driven by our procurement exercise as well as our ongoing TMOS and continuous improvement initiatives. Three, our efforts to restore one of our Broth facilities ahead of the peak broth season should allow us to improve service levels ahead of the fourth quarter. Finally, we have some incremental pricing actions in place to recover our recent commodity inflation related to cocoa, which will benefit us from a timing perspective in the back half. 
 With that, I'll turn it back over to Steve for closing remarks. 
Steven Oakland: Thanks, Pat. Before I open the call up to your questions, I want to thank the entire TreeHouse team for their hard work and dedication in driving our strategic execution as a private brand leader. 
 We continue to prioritize execution, growth and margin expansion as we capitalize on the industry and consumer trends. As a result, we are well positioned to deliver our full year guidance. Looking ahead, we remain focused on delivering for our customers and consumers and extending our leadership in private brands. This, in turn, will create enhanced value for our shareholders. 
 With that, I'll turn the call over to the operator to open the line for your questions. 
Operator: [Operator Instructions] 
 The first question comes from Rob Dickerson of Jefferies. 
Robert Dickerson: Just 2 quick questions. First one is just the slide when you showed the price gaps. I'm just curious, Steve, maybe kind of like what your perspective is as to maybe why those price gaps have widened, right? Just given even the branded kind of volume-decline environment we've been experiencing over the past few quarters. 
Steven Oakland: Sure. I think there's a couple of things. I think there's actually a small reset in the data recently to include a larger set of customers. Now that's all that data has the back data in it. So it's all apples-to-apples data. So I think it gives a little clearer perspective. Again, one of the largest hard discounters is now in that data. So that's good news because it gives us a clearer picture. But I also think it's an example of the investment the retailer is making in private brand, right? The retailer understands that the consumer is looking for value or at least there's a large segment of consumers looking for value. I think you can look at the national media over the last 2 weeks, and you've seen a couple of articles, both on our largest customers and the investments they're making. 
 So I think it's the customer -- the retailer, excuse me, investing in private label. 
Robert Dickerson: All right, super. And then just on cocoa. I mean, clearly, there's been a lot of volatility in the commodity. You made some comments around some pricing needs to help offset that. I'm just curious kind of how you're thinking about that pricing, right? I mean some of the larger brand manufacturers clearly have fairly well-defined hedging practices and they're trying to wait to see where the commodity goes, maybe you don't have as much of a hedging dynamic on that commodity. So I'm just curious, when you think of those pricing needs, like are those pricing needs like 50% higher or kind of take a little bit of pricing and kind of see where that commodity goes over the next, I don't know, 9 to 12 months or so. That's all. 
Patrick O?Donnell: Yes. So Rob, this is Pat. So I would say, we do hedge a little bit, but we -- it is much more short term than what you would see from the national branded players. We tend to tie our hedging with our cycles of when we know we need to go deliver product. And so we bring that back to the customers very factually in terms of where we see inflation. And cocoa in particular, is not the largest commodity for us, but the pace of inflation, obviously, over the last several months was a pause point for us to go realize we need to take some pricing and have very factual conversations with our customers, which today, it has been received, well, given what's going on in that market. 
Steven Oakland: Yes. I mean I know you -- Rob, you've written a lot about it, and the cocoa world is pretty well established in the customer mind. So it's not a big commodity for us. And our hedging tends to tie to our contracts, right? So we don't speculate beyond that. We basically cover the -- as Pat said, we cover what we need to do on the cycles, which we have pricing committed. So we feel good about the pricing and the response from the customer has been as expected. They know cocoa has moved dramatically. 
Operator: The next question comes from Andrew Lazar of Barclays. 
Andrew Lazar: The EBITDA cadence guidance you provided implies second half EBITDA of, call it, $255 million or so on the more conservative end. And obviously, it's early to get into '25, but the back half run rate, assuming you get back to your sort of typical 40-60 historical first half, second half split, I guess, suggest a full year run rate of closer to about $425 million. And I'm just trying to think if that's the right way to think about it? And if so, does that suggest maybe more normalized earnings' power of a bit higher than the $400 million that you've spoken to now that you've sort of derisked the supply chain quite a bit? 
Patrick O?Donnell: Yes, Andrew, I think what that really reflects just a couple of reasons that we feel strongly about the back half in terms of the progress we're making on the top line, the cost savings pipeline that we've been able to build up in terms of the $50 million, a lot of that related to our procurement exercise. And then our return to service and broth, which is a big lap compared to the prior year. And so we feel good about the progress that we're making. Obviously, we'll continue to see what the macro environment looks like heading into next year. And we'll get back to 2025 when we have -- when we talk more. But we feel good about the progress that we're making as we head into the back half of the year. 
Steven Oakland: Andrew, the only thing I would add is that the only thing that really kept us from being on our algorithm, we thought we would exit last year $400 million. The only thing that kept us from that is the broth exercise. So with that behind us, we're in a much better place. 
Andrew Lazar: Great. And then you may have covered this towards the end, and I apologize if I missed this. The -- some of the new wins and the 20% increase in the pipeline that you've got, what's generally the timing of when some of that can actually start flowing through the P&L? Is it sort of really more fourth quarter so that it's really much more impactful, obviously, the '25? Or can it -- does that give you that much more confidence in the visibility to the back half of this year as well? 
Patrick O?Donnell: Yes. We think that pipeline really starts to deliver in Q3 and Q4. So you'll see in both. And so we've been very active from that standpoint. I think the environment is very much set up now. We're having very constructive conversations with our regional -- Steve made reference to what we're seeing more broadly in the marketplace in terms of our largest customers continue to invest in private label. So we're encouraged by that. 
Operator: The next question comes from Matt Smith of Stifel. 
Matthew Smith: When you first provided guidance for the year, you talked about the disruption in the Broth plant being about a $20 million drag on EBITDA. Is it still trending towards that level? And can you give us an idea of how the costs were phased or are phased between the first quarter and the second quarter? 
Patrick O?Donnell: Yes, Matt. So I think as we look at Broth, I don't think it's materially different from that. We probably are a few million dollars more than what we had anticipated. And as we continue to do the work, there's probably a little bit of Q1, Q2 timing we didn't get quite right. But I would say materially, it was in line with what we thought. We -- given what we were doing in the ramp curve, there was probably a little bit more impact to Q1 than Q2, but that ramp will continue throughout Q2. We are making product today. And so we're -- we believe we're on our glide path as we work through the rest of the quarter. But that's in terms of how we thought about it and what's happening today. 
Matthew Smith: And just one more for me. Last quarter, you talked about the lift that retailers see when they promote private label as being very positive for their profitability. Are you seeing -- or are you hearing from your partners that they will become more promotional with private label in the second half of the year, maybe during the seasonal time frame? 
Steven Oakland: Matt, I think we'll see that in some of the high seasonal categories, things like refrigerated dough, we'll see that with coffee, those kinds of things in the back half. And it's really driven. Yes, they want to do it for the margin, but I think they're more confident in the supply chain this year. So last year, there was still a little bit of uncertainty on some ingredients and packaging things, et cetera. I think the fact that we've returned to service will drive a little more promotional activity in the fourth quarter. 
Operator: Our next question comes from Carla Casella from JPMorgan Chase. 
Carla Casella: I have a follow-up on cocoa. With all the bigger movement there, is that a category where you could see it going with the way of coffee, where you go into more pass-through contracts? Or is it still better managed through just hedging? 
Steven Oakland: Carla, I think we will have to see volatility. I think coffee is pass-through because of the volatility, right, one weather event in Brazil swings the market dramatically. And so the retailers like pass-through because they feel like that's the truest way for them to participate in both sides of that. If we saw that kind of volatility, it appears from what we see now is there are some structural issues that have maybe just step-changed the cost of cocoa. If that, in fact, is the case, I don't know that it would be as functional as the pass-through we use for volatile commodities. 
Carla Casella: Okay. Great. And then Walmart just announced a big new private label expansions across a bunch of categories. I'm just wondering if you're seeing any other -- or if you could just talk to trends, you did give some good, in your slides, explanation on private label and how it's gaining share, but any other key wins or losses you can talk to, even if you can talk through... 
Steven Oakland: I think we touched on a couple of them in the prepared remarks, right? And they are a combination of 2 things. I would take it back one step. And I'd say that 18 months ago, we sold 40% of the company, right? And so for the last year or so, the organization has been focused on TSA and reorganization to run this new business and separate that was all intertwined in our distribution systems, et cetera. We now have the organization focused solely on building that pipeline and focused on our capabilities and our capacity and aligning those with the best opportunities for both sales and margins across the industry. So things like what you saw that announcement of new private label, I think one of the hard discounters had an article in the Wall Street Journal as well. So there's been a lot out lately, but our team, we're really pleased we can now focus and align that team on those opportunities rather than on the administration of the divestiture. So that's where we see the biggest opportunity and why we think the pipeline is so solid right now. 
Carla Casella: Okay. And then just on balance sheet. On the working capital side, you talked about the use of cash this quarter, but your payable days were also lower. Is that just decisions that you're making to capture better terms? Or should we see those kind of expand back to more normal levels in the next few quarters? 
Patrick O?Donnell: I think there was nothing different decisions that we've made really on that. So I think that's probably just a function of timing. And so we'll continue to see those be at historical levels. We're not seeing any pressure on vendor terms or anything as we go forward. 
Carla Casella: Okay. And did you -- I'm sorry, did you guide on working capital for the year, like whether it will be a statutory use? 
Patrick O?Donnell: No, we did not. We did guide free cash flow of at least $135 million -- $130 million, sorry. 
Operator: The next question comes from William Reuter from Bank of America. 
William Reuter: My first question, on the new business wins that you laid out, were those wins that have been awarded to you since your initial guidance would have been provided? So -- or are these kind of -- these are some positive benefits in that they're being offset by maybe a little bit of a delay in the Broth facility? Or are these wins that you already knew you were going to be getting compared to guidance? 
Steven Oakland: No, this is the natural progression, right? We guide early in the year, and these things tend to materialize as we go. So it's sort of a rolling cycle. So I would say, these are probably new news. And the Broth progress, as we spoke to earlier, we think is right on what we guided, right? We feel really good about that plan, and we think it's right on where we initially thought. 
William Reuter: Got it. And is there any change in the competitive bidding environment for some of these private label volumes in terms of is it becoming more or less competitive, such that the profitability is either greater or less than it had been in the past? 
Steven Oakland: No. I think there's areas of volatility. Our business, although simpler than before, is still a lot of different categories. So I think it's very category-specific. I think it's -- we tend to do really well in those areas where we're deep, which means we have capability, we have cost structure and we have the assortment necessary. And in those other areas is where we're investing to build that depth. So we tend to find the margins the best in those places where we have all the capabilities and the cost structure appropriately aligned. 
William Reuter: Got it. And then just lastly for me on capital allocation. You've made some prepared comments about share repurchases. Last year, you had a handful of acquisitions. What are you seeing in the M&A landscape? And how do you think your capital will be allocated between potential additional acquisitions versus share repurchases? 
Steven Oakland: Sure. I think we always say that our first priority for capital is to invest in our business. And the acquisitions you've seen of late have all been capability-driven, right? We really addressed our capability gaps in Coffee last year. We did that in Pickles here. It actually -- we announced it last year, but actually closed the first week of January. So that M&A would be an opportunity to build capabilities in those key businesses where we see growth opportunities. So I don't see transformational M&A in the near term. Never say never, but I don't see that in the near term. But following that, then it's about maintaining our balance sheet, obviously, balance sheet strength and then it's returning capital to shareholders. So we think we can do all 3, quite frankly. 
Operator: The last question today comes from James Salera from Stephens Inc. 
James Salera: I just wanted to ask on the labor front. I know we've heard other companies talk about labor being kind of one of the sticky areas of inflation across their input costs. Can you just give us any color you guys are seeing on labor for your manufacturing facilities? And any opportunity to leverage that as you move forward? 
Patrick O?Donnell: Sure. Yes. Jim, this is Pat. So I would say we are generally seeing some labor inflation, and that was built into the cost structure in terms of how we thought about the year going forward. We've tried to be very forward in working with our locations to ensure we've got the right labor pool, and we're paying the right wages and we've done that over a couple of years. And so we think that while there's probably challenges depending on location, generally speaking, we feel like we're in a pretty good place. And so investments we've made both from a wage as well as just shift schedules and things like that are trying to make us an attractive employer in those places in which we operate. 
Steven Oakland: Yes. I would add just one thing. We talk a lot about the transformation we did that it put us in higher growth, higher-margin categories. But the other side of that transformation is that it improved our balance sheet, and it put us in a position where we can invest and we can target investment in our business. And we do have some locations where labor is tight. And those are the places where we're using automation, right, where we're using cobots and automated forklifts and those kinds of things to supplement our labor and to put our workforce in higher value, more rewarding positions. And so I think the other side of our transformation really put us in a place where we can manage the challenges of labor, we think will bring over the future, not just the current ones, but the future ones. 
James Salera: That's helpful. And maybe if I can ask a follow-up on that. You talked about your OEE with that of your internal target in 1Q, how much of that is just better visibility in the plants and some of the automation versus maybe lower labor turnovers that you have, employees that have worked on the lines for long enough and they now make mistake that somebody who just started like making -- just have better overall [indiscernible] in the manufacturing process. 
Patrick O?Donnell: I think it's probably a couple of things, Jim. We took some time last year, if you recall, to invest in our plants, both from a TMOS and ensuring we're operating consistently across our plants. So that -- I think that's some of the TMOS investment in terms of the ways we work. And then I would say it's also some of the maintenance activities that we invested in over the years to get our equipment running more reliably. We've tried to make sure we could deliver the season and the places where we know that's important. And so I think it's a combination of both our investment and people as well as the investment equipment that we've made over the last year. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Steve Oakland for closing remarks. 
Steven Oakland: Yes, I'd like to thank you all for being with us today. And Pat and I look forward to speaking with you individually and to next quarter. Have a great day. 
Operator: This concludes today's conference call. You may now disconnect.